Operator: Good morning and welcome to the Dominion Resources and Dominion Midstream Partners' Second Quarter Earnings Conference Call. At this time, each of your lines is in a listen-only mode. At the conclusion of today's presentation, we will open the floor for questions. At that time, instructions will be given as to the procedure to follow, if you would like to ask a question. I'd now like to turn the call over to Tom Hamlin, Vice President of Investor Relations and Financial Planning for the Safe Harbor statement.
Thomas E. Hamlin - VP Financial Planning and Investor Relations: Good morning and welcome to the second quarter 2015 earnings conference call for Dominion Resources and Dominion Midstream Partners. During this call, we will refer to certain schedules included in this morning's earnings releases and pages from our earnings release kit. Schedules in the earnings release kit are intended to answer the more detailed questions pertaining to operating statistics and accounting. Investor Relations will be available after the call for any clarification of these schedules. If you've not done so, I encourage you to visit the Investor Relations page on our website, register for email alerts and view our second quarter earnings documents. Our website addresses are dom.com and dommidstream.com. In addition to the earnings release kit, we have included a slide presentation on our website that will follow this morning's discussion. And now for the usual cautionary language. The earnings release and other matters that will be discussed on the call today may contain forward-looking statements and estimates that are subject to various risks and uncertainties. Please refer to our SEC filings, including our most recent annual reports on Form 10-K and our quarterly reports on Form 10-Q for a discussion of factors that may cause results to differ from management's projections, forecast, estimates and expectations. Also, on this call, we will discuss some measures of our company's performance that differ from those recognized by GAAP. The reconciliation of our non-GAAP measures to the most directly comparable GAAP financial measures we are able to calculate and report are contained in the earnings release kit and Dominion Midstream's press release. Joining us on the call this morning are our CEO, Tom Farrell; our CFO, Mark McGettrick; and other members of our management team. Mark will discuss our earnings results for the second quarter and Dominion's earnings guidance for the third quarter and full year 2015. Tom will review our operating and regulatory activities and review the progress we have made on our growth plans. I will now turn the call over to Mark McGettrick.
Mark F. McGettrick - Executive Vice President and Chief Financial Officer: Good morning. Dominion Resources reported operating earnings of $0.73 per share for the second quarter of 2015, which was near the top of our guidance range of $0.65 to $0.75 per share. Weather added about $0.01 per share to earrings relative to guidance, while lower operating expenses contributed about $0.02 per share. GAAP earnings were $0.70 per share for the second quarter. The principal difference between GAAP and operating earnings was the charge associated with future ash pond closure costs. A reconciliation of operating earnings to reported earnings can be found on schedule two of the earnings release kit. Moving to results by operating segment. At Dominion Virginia Power, EBITDA for the second quarter was $374 million, which was in the middle of its guidance range. Kilowatt hour sales were above expectations due to slightly warmer-than-normal weather. Excluding weather, year-to-date sales growth was about 1.5%, above our expectations for the year of about 1%. Dominion Generation produced EBITDA of $546 million in the second quarter, which was also in the middle of its guidance range. Favorable weather in utility generation and lower operating expenses in merchant generation were the contributing factors to the strong results. Second quarter EBITDA for Dominion Energy was $285 million, which was in the upper half of its guidance range. Positive drivers were lower operating expenses and higher gas distribution margins. On a consolidated basis, interest expenses were in line with our expectations, while income taxes were at the upper end of our guidance range. Overall, we are pleased with the performance of each of our operating segments. For the second quarter of 2015, Dominion Midstream Partners produced adjusted EBITDA of $19.9 million and distributable cash flow of $19.3 million, all consistent with management's expectations. On July 17, Dominion Midstream Partners' board of directors declared a distribution of $0.1875 per unit payable on August 14 to unitholders of record on August 4. This distribution represents a 7% increase over the last quarter's payment and is consistent with our plan to achieve 22% annual distribution growth for LP shares. On April 1, Dominion Midstream acquired Dominion Carolina Gas Transmission from Dominion Resources. We do not expect to drop anymore assets into the partnership this year to reach our projected fourth quarter annualized distribution rate of $0.85 per unit. However, we continue to actively seek acquisitions to support DM's future growth. Interest by other parties has been active and we are optimistic of additional transactions this year. As we have said in the past, any acquisition would have the same regulated earnings profile DM has today and not carry with it commodity risk. Moving to cash flow and treasury activities at Dominion, funds from operations were $2.1 billion for the first six months of the year. Commercial paper and letter of credit outstanding at the end of the quarter were $2.7 billion. We have $4.5 billion of credit facilities. And taking into account cash and short-term investments, we ended the quarter with liquidity of $2 billion. For statements of cash flow and liquidity, please see pages 14 and 25 of the earnings release kit. In the financing area, we concluded our public equity needs for the year after raising approximately $500 million through the sale of 6.8 million common shares during the first and second quarters. We accessed the debt markets on two occasions during the quarter with senior note offers. In May, Virginia Power issued $700 million in two tranches, half for 10 years and the other half for 30 years. In June, Dominion issued $500 million of three-year notes. We plan to come to the market with another parent company debt issue, as well as an issue for Dominion Gas Holdings later this year. Looking ahead to the third quarter, Dominion's operating earnings guidance is $0.95 to $1.10 per share compared to operating earnings of $0.93 per share for the third quarter of 2014. Positive earnings driver for the quarter compared to last year are a return to normal weather and higher revenues from growth projects. Negative drivers for the quarter are higher operating expenses and share dilutions. Dominion's operating earnings guidance for the year remains $3.50 to $3.85 per share. As to hedging, you can find our hedge positions on page 27 of the earnings release kit. As of August 1, we have hedged 94% of our expected 2015 production at Millstone and 60% of our expected 2016 production. So let me summarize my financial review. Operating earnings were $0.73 per share for the second quarter of 2015, near the top of our guidance range. Favorable weather and lower expenses were the principal factors of our strong performance. Operating results for Dominion Midstream Partners were in line with management's expectations. And, finally, Dominion's operating earnings guidance for the third quarter of 2015 is $0.95 to $1.10 per share. And our operating earnings guidance for the full year remains $3.50 to $3.85 per share. I will now turn the call over to Tom Farrell.
Thomas F. Farrell ll - Chairman, President, and Chief Executive Officer: Good morning. Our strong operational and safety performance continued in the second quarter. Year-to-date, OSHA recordables for each business unit are ahead of or are consistent with their respective targets for the year. Our nuclear fleet continues to operate well. The net capacity factor of our six units was 95.4% for the first six months of the year. Our Power Generation group also performed well with record net generation and net capacity factors during the second quarter. Now, for an update on our regulatory activities. On March 31, in Virginia, we filed our review of earnings for 2013 and 2014, showing an earned return of 10.13%, which was below the top of the allowed range of 10.7%. Intervenor testimony was submitted last week and we expect to receive the commission staff testimony next week. Hearings will commence in September and we expect the commission order by the end of November. Neither our base rates nor the allowed rate of return are subject to change in this proceeding. The biennial review process will resume in 2022 covering earnings for the calendar years 2020 and 2021. We filed our annual Integrated Resource Plan in Virginia and North Carolina on July 1. The filing identifies and evaluates a mix of supply side and demand side resources needed to meet customers' needs at the lowest reasonable cost while considering future uncertainties, including the EPA's Clean Power Plan, which was, of course, only in draft form at the time of the filing. Obviously, earlier this week, we saw the final rule. We're encouraged by some of the changes made to the original proposal and are evaluating our options to help Virginia comply with the new regulations. It is clear, however, that the plan will require significant new investments in generation and electric transmission in our Virginia service territory as well as many new opportunities for all aspects of our gas infrastructure businesses. Now for an update on our growth plans. Construction of the 1,358-megawatt combined cycle facility in Brunswick County was about 75% complete through the second quarter. There are approximately 1,475 workers on site. Construction of the air-cooled condenser is 93% complete and installation of major equipment continues for all combustion turbine units. Facility is on-time and on-budget for a mid-2016 commercial operation date. A request for a CPCN and Rate Rider for the proposed 1,588-megawatt Greensville County project was filed July 1. If approved, this three-on-one combined cycle facility is expected to achieve commercial operation in December 2018. In January, the company filed for a Rate Rider and CPCN for a 20-megawatt solar facility at our Remington Power Station. This project is the first step in our plan to invest $700 million to build 400 megawatts of utility scale solar projects in Virginia. If approved, the facility will be in service by late 2016. Since our last call, we placed five contracted merchant solar projects into service totaling 81 megawatts. Another 90 megawatts have been acquired or are under construction for completion this year. In addition, we acquired a 50% interest in a 320-megawatt solar facility under development in Utah. Our plan to grow this portfolio to 625 megawatts by the end of 2016 is in place. We'll provide more details on our plan to sell down of our merchant solar portfolio next month at the September investor conferences. At Dominion Virginia Power, we have a number of electric transmission projects at various stages of regulatory approval and construction. During the second quarter, $315 million of transmission assets were placed into service, bringing the year-to-date total to $514 million. Electric transmissions capital budget for growth projects, including NERC, RTEP, maintenance, as well as security-related investments will average over $700 million per year through at least the remainder of the decade. Progress on our growth plan for Dominion Energy continues as well for the 4 billion cubic feet per day of projects underway. We have previously announced nearly 2 Bcf per day of producer outlet projects, designed to relieve congestion and move Marcellus and Utica's gas out of the basin. Five of these are now in service and the four remaining will be in service by the end of next year. As we complete the producer outlet projects, we have seen a significant increase in demand in both traditional LDCs and new gas-fired generation projects as coal plants move to retirement or conversion. We expect these trends to continue as gas supplies continue to grow from the Marcellus and Utica basins. We're presently developing over 2 billion cubic feet of demand side or market-based projects. Seven of these totaling $600 million a day are expected to be in service by the end of 2017. Looking forward, there is strong interest for further customer-driven projects throughout our service area, including in our newly-acquired Dominion Carolina Gas Transmission system at Dominion Midstream Partners. And we expect to be in a position to give additional details later this year. The Clean Power Plan will greatly enhance those opportunities. We're continuing to work towards the commencement of construction on the Atlantic Coast Pipeline and the related Supply Header Project. We began the FERC filing process last November and expect to make the formal filings in September. Surveying is about 80% complete and engineering is about 70% complete. We awarded the large diameter pipe manufacturing contract in January to Dura-Bond Industries of Pennsylvania and expect to award small diameter pipe contract in August. Construction bids were received in May. And we expect to conclude negotiations by the end of the summer, well ahead of our original project plan. We plan to begin construction on both projects in the fourth quarter of 2016 and commence operations in November 2018. Now, an update on our Cove Point liquefaction project. Overall, the project is approximately 31% complete and is on-time and on-budget. Engineering is nearly 90% complete and approximately 85% of the engineered equipment has been procured as of the end of the second quarter. So, to summarize, our business delivered strong operating and safety performance in the second quarter. The Brunswick County construction project is proceeding on-time and on-budget. We continue to work toward a formal filing with FERC for the Atlantic Coast Pipeline and Supply Header Projects next month. And construction of the Cove Point liquefaction project is continuing on-time and on-budget. Thank you. And we are ready to take your questions.
Operator: Thank you. Our first question will come from Dan Eggers with Credit Suisse.
Dan L. Eggers - Credit Suisse Securities (USA) LLC (Broker): Hey. Good morning, guys. On the DM M&A opportunities for this year, I guess, a) what are you seeing as far as receptivity of sellers and some pressure on kind of the yields space with the MLPs or the YieldCos? And how do you guys feel about issuing equity on DM right now to supplement an acquisition at this moment?
Mark F. McGettrick - Executive Vice President and Chief Financial Officer: Hey, Dan. This is Mark. We've had a lot of interest from a number of parties in terms of assets that would fit nicely within a DM portfolio. If any of those transactions were to materialize between now and the end of the year, we do not expect issuing any equity associated with those – any public equity associated with those. And, again, I've mentioned in the script that we will be sure to focus on only assets that have a very stable, regulated, long-term earnings stream. But we are excited that people really like the DM currency. And I think there may be greater value with the DM currency than what their current earning streams are within their assets.
Dan L. Eggers - Credit Suisse Securities (USA) LLC (Broker): So, Mark, that means you would cash fund them from what they have available or you would be giving your equity to the seller of the assets?
Mark F. McGettrick - Executive Vice President and Chief Financial Officer: It could be both.
Dan L. Eggers - Credit Suisse Securities (USA) LLC (Broker): Okay. All right. Tom, can you talk a little bit about kind of thoughts on CPP now that it's made its the land of final and how you guys see that affecting both the IRP and Virginian, maybe some of the ongoing investments in gas generation and solar and that sort of stuff?
Thomas F. Farrell ll - Chairman, President, and Chief Executive Officer: Good morning, Dan. Obviously, it's a very complicated rule. It's interesting to take a look – you have to really look at it state-by-state. I'm sure you know that and all those folks listening. So, to make broad generalizations about it, I think, is a mistake. I think you need to look at how each state – how they have – what levels they have to comply with, what their existing mix is. Example, if you look at the Southeastern states and the Midwestern states, where our pipeline assets are as well positioned as any, there are others well positioned, but I think ours are well positioned as any or better. Gas-fired power will be able to meet the needs with the latest emissions targets – the rates that were published in the final rule. So we're encouraged by that. I think that's a good news – opportunity for our infrastructure businesses. We're going to take a hard look at the IRP. I'd say our Greensville County plant, for example, will clear all these hurdles. It provides tremendous customer benefit – most customer benefit we've had of any of these projects, truly an outstanding opportunity. We will be looking hard at solar. The renewable and energy efficiency parts of the rule are slightly convoluted with the way the timing works. If you're looking at a potential gap, I think, in incentives to build renewable, once the tax production did not – the investment tax credits expire, at the end of next year – for example, solar, if you start building after your status filed a final plan, which is going to be well after most likely when the tax credits expire, then you can start earning these double credits, but only in the years 2020 and 2021. And then the ability to earn the credits expires. You can't earn them in advance of 2020. So all the folks that sit in rooms like we're in here today are going to be looking at, well, when do I – if I'm going to do this, when do I do it? When is the best for my customers, at least a solution to my customers? So I think people will have to be thinking through all that, state-by-state. You could have a couple of years there where there is a lack of incentive to build renewables when compared to waiting. So that's a long answer, probably longer than you want. We're looking for – it's a complicated rule. All of us have a lot of work to do. And we will be reassessing our IRP. But, as you know, we file it every year. So, it's not like it's stagnant.
Dan L. Eggers - Credit Suisse Securities (USA) LLC (Broker): I guess one last one, just on the non-regulated solar sales. You updated those in September. But are you seeing a wavering interest from prospective parties, given what the YieldCo space has done recently?
Thomas F. Farrell ll - Chairman, President, and Chief Executive Officer: Quite the opposite.
Dan L. Eggers - Credit Suisse Securities (USA) LLC (Broker): Okay. Wait for September. Thank you, guys.
Thomas F. Farrell ll - Chairman, President, and Chief Executive Officer: Thank you.
Operator: Thank you. Our next question will come from Michael Weinstein with UBS.
Julien Dumoulin-Smith - UBS Securities LLC: Hey. Good morning. It's Julien.
Thomas F. Farrell ll - Chairman, President, and Chief Executive Officer: Good morning, Julien.
Julien Dumoulin-Smith - UBS Securities LLC: Hey. So, perhaps a little bit to follow up on a related question. Just be curious, in terms of the general partnership, how are you thinking about potentially monetizing that in a more attractive manner? And I'm just curious, what is your reaction to what you've seen out there in the marketplace of late and recent months, following some of other companies pursuing new angles here?
Mark F. McGettrick - Executive Vice President and Chief Financial Officer: Julien, it's Mark. We think our GP is extraordinarily valuable. It grows in value every day as we get closer to major drops in 2018, 2019 and 2020. Although there's been some good valuations on GP sales down the road, we think that value should move into both the DM and to D stock as we give more and more clarity on that. So, we are not looking to do anything different with our GP except to hold it at Dominion as we grow the entity. In terms of the MLP sector in general, it appears that some investors have shown concern based on recent transactions around change in business practice or at least change in philosophy on their business mix. DM will not go that way. DM is going to stay with what we told investors in February. That we have a great dropdown story, regulated assets, very firm earnings. And if we decide to acquire anything, it will fit that same portfolio. Also, it looks like that folks that had to issue equity as part of a transaction have not been treated too well in certain circles. So, again, we do not expect to have any market equity issued for any potential transaction from DM to make sure that we're focused on growing that entity and growing value for both DM unitholders and D shareholders.
Julien Dumoulin-Smith - UBS Securities LLC: I'd be curious just in terms of some recent pushback on the undergrounding project in Virginia, just be curious what's the latest there in terms of potentially trying to re-file that project or next steps more broadly?
Thomas F. Farrell ll - Chairman, President, and Chief Executive Officer: We're taking a look at the commission order. I'm confident we will – they asked for some more cost justification. There is a lot of cost justification. We don't anticipate any difficulty with that. It's a new statute, new proceeding. So we'll take a look at what they want us to file and then we'll file it and proceed from there. I don't expect any issue on it in the end.
Julien Dumoulin-Smith - UBS Securities LLC: All right. Great. Well, thank you, guys.
Thomas F. Farrell ll - Chairman, President, and Chief Executive Officer: Thank you.
Operator: Thank you. Our next question will come from Greg Gordon with Evercore ISI.
Greg Gordon - Evercore ISI Group: Thanks. Sorry to harp on the same subject as some prior questions, but one of the other things that seems to have happened in the MLP/YieldCo space is investors rightfully focusing on transaction valuations in terms of the long-term IRR for the LP holder and not just the dividend growth accretion that comes from those transactions. And they're sort of been punishing both the GPs and the LPs of companies that look like they're not disciplined financially. So, can you please go over what's the financial metrics you look at in terms of when you look at a drop, when you look at an acquisition, what are the hurdle rates for IRRs and accretion that you hold yourself to?
Mark F. McGettrick - Executive Vice President and Chief Financial Officer: Well, Greg, I'm going to give a general answer to that, because we're not going to disclose what our internal financial rates are. But, as we look at any transaction on DM, we'll look at is it positive to the discounted cash flow metric, is it positive in terms of long-term IRR, is it positive in terms of strategic long-term value, is it positive in terms of can we operate it more effectively potentially than the current owners. And anything we do on DM is going to, again, fit, I think, the structure that our unitholders are interested in. And our focus would be, if we did acquire, it allows us to keep the backlog that we have and grow it even more from the $1.7 billion post-2020 that we've already identified. And so, those are kind of opportunities we're looking at. I think the Carolina Gas Transmission acquisition fit all those parameters that I outlined for you. And I think if we have any announcement in the future in terms of acquisition, it will meet the hurdle rates that people are expecting or exceed those and be well received.
Greg Gordon - Evercore ISI Group: Thanks. And I know that the focus of the company appears by – to be creating shareholder value through the continued growth in the midstream of pipeline businesses, but there does continue to be consolidation of the utility industry. So, on the utility side of house, are you still opportunistically considering expanding the regulated utility footprint? And if the answer to that is yes, what are the criteria that you're looking at there?
Thomas F. Farrell ll - Chairman, President, and Chief Executive Officer: Greg, I don't think we've ever said that we were opportunistically looking to expand our utility franchise. In fact, I'm quite certain that we've never said that in the 10 years I've been CEO. All we said is that we have been – we are interested in assets for Dominion Midstream Partners that fit the criteria that Mark mentioned. I think we are perceived as a management group and a broad of directors that exercises financial discipline. And that's the way we will continue to perceive. But we've never said we're looking around for an electric utility.
Greg Gordon - Evercore ISI Group: Perfect. Thank you, guys.
Thomas F. Farrell ll - Chairman, President, and Chief Executive Officer: Thank you.
Operator: Thank you. Our next question comes from Jeremy Tonet with JPMorgan.
Christopher J. Turnure - JPMorgan Securities LLC: Good morning.
Thomas F. Farrell ll - Chairman, President, and Chief Executive Officer: Good morning.
Christopher J. Turnure - JPMorgan Securities LLC: You have Chris Turnure for Jeremy. One quick question on CGT. You guys, I guess, recently did a pre-filing for $120 million extension. So, I guess, looking at the current plan and the current operations at CGT, how that's running relative to your plan at the time of the acquisition?
Paul D. Koonce - Executive Vice President: This is Paul Koonce. The filling was part of our due diligence process. So, it really fits right in line with our expectation. We did go out for solicitation of interest in June, just to kind of pulse the community down there, to find out what the interest was in additional gas service. And that response was good. So, we hope to add to what was already an existing portfolio of spread.
Mark F. McGettrick - Executive Vice President and Chief Financial Officer: This is Mark. Let me add on to that. Obviously, from initial expectation on CGT, the cash flows have been better than what we anticipated, one reason that we confirmed earlier that we didn't need to drop anything else in 2015. And so as – only being associated with that entity for five months or so now. We're very pleased with the way it operates, very pleased with the growth potential that it has. And, again, we believe that there is more opportunities to improve the cash flow coming out of South Carolina than what we've initially anticipated in January.
Christopher J. Turnure - JPMorgan Securities LLC: Thanks. That's helpful. That's it from me.
Operator: Thank you. Our next question will come from Angie Storozynski with Macquarie. Angie, go ahead with your question.
Angie Storozynski - Macquarie Capital (USA), Inc.: I'm sorry. Thank you. I'm sorry. Just to go back to the Dominion Midstream. So you mentioned that you would be pursuing some – actually pursuing acquisitions even later this year. Now the fact that you're not going to finance them with equity, should we imply that those are not going to be big acquisitions? I'm basically trying to figure out if there is a way to accelerate the IDR payments to make the increased cash flow from this entity more visible to Dominion shareholders? I understand that you've created the structure to actually create value for Dominion shareholders. And I think we're still waiting a little bit for the recognition of the value creation.
Mark F. McGettrick - Executive Vice President and Chief Financial Officer: Angie, this is Mark. (31:14) in terms of size would be material to DM, what we're looking at, but not material to a D balance sheet. So our focus really is what assets are out there that may fit our portfolio that would allow us to continue to build our backlog long-term and stay and support our 22% distribution growth. We do not anticipate advancing any drops to do that. This would just be a matter of it fits the profile, has good future growth, but they – I would say they would not be significant in terms of size is what we're – from what we're looking at right now.
Angie Storozynski - Macquarie Capital (USA), Inc.: Okay. Now, separately on the Cove Point expansion, can you comment if there has been any movement on your long-term contract supporting that entity, like any attempts to negotiate contracts given the lower LNG demand worldwide?
Thomas F. Farrell ll - Chairman, President, and Chief Executive Officer: No.
Angie Storozynski - Macquarie Capital (USA), Inc.: That was easy. So, lastly, some of the strengths in your second quarter earnings have to do with cost efficiencies. I see that you're showing increased operating costs as a drag on third quarter results. So should I imply that this is just a timing of O&M?
Mark F. McGettrick - Executive Vice President and Chief Financial Officer: I think that's a fair representation.
Angie Storozynski - Macquarie Capital (USA), Inc.: Okay. Thank you.
Thomas F. Farrell ll - Chairman, President, and Chief Executive Officer: Thank you, Angie.
Operator: Thank you. Our next question will come from Steve Fleishman with Wolfe Research.
Steven Isaac Fleishman - Wolfe Research LLC: Yeah. Hi. The Utica details that you used to give, you don't have. And I'm just curious maybe at a high level you can give us an update on your kind of what you're seeing in the Utica, which seems like it's pretty good.
Thomas F. Farrell ll - Chairman, President, and Chief Executive Officer: Yeah, Steve. Paul Koonce will provide that.
Paul D. Koonce - Executive Vice President: Good morning, Steve. Yeah. In past calls, we've kind of provided the state level kind of number of permitted wells, drilled wells and producing wells. And just looking at that information since February 9, the number of permitted wells are up 202, the number of wells drilled are up 231, the number of wells producing are up 200. So we still see a lot of activity in Ohio. And really what we're starting to focus on are really the five counties that Blue Racer really serves: Guernsey, Belmont, Noble, Monroe and Washington counties. And if you look at permits statewide, they look like they're leveling off. They're still issuing permits leveling off. But if you look at these five counties, they're continuing to increase month-over-month. So we see that as positive.
Steven Isaac Fleishman - Wolfe Research LLC: Okay. And just maybe at a high level comp, is it – given the continued growth in your kind of core areas, I mean, should we expect further maybe new project, new CapEx plan in the midstream gas when you do your update?
Thomas F. Farrell ll - Chairman, President, and Chief Executive Officer: Yeah. Steve, we've got a lot of things we're working on. And we'll do our best to make sure we give you as much clarity as we can in the fall.
Steven Isaac Fleishman - Wolfe Research LLC: Okay. Thank you.
Thomas F. Farrell ll - Chairman, President, and Chief Executive Officer: Thank you.
Operator: Thank you. Our next question will come from Paul Patterson with Glenrock Associates.
Paul Patterson - Glenrock Associates LLC: Good morning.
Thomas F. Farrell ll - Chairman, President, and Chief Executive Officer: Hey, Paul.
Paul Patterson - Glenrock Associates LLC: Just a few quick ones remaining here. Just the coal residuals, the one-timer, are we finished with that do you think? Is that sort of one and done with respect to -
Thomas F. Farrell ll - Chairman, President, and Chief Executive Officer: Yeah. I think it's two and done.
Paul Patterson - Glenrock Associates LLC: All right.
Thomas F. Farrell ll - Chairman, President, and Chief Executive Officer: We've reserved some in December, I think, Paul. And then we've spent a lot of time through the last six months looking at – we need to keep this in context, of course. We don't have – there are many other of our colleagues in the industry have a lot more of these ponds than we do. We do have some ponds. We will deal with them. We've fine-tuned it. We don't think it's that significant of an expense, but, obviously, significant money. But we're going to clean them up in compliance with all the EPA regulations. So that's a long way of saying, yes, we believe that's all we will have to do.
Paul Patterson - Glenrock Associates LLC: Okay. Great. Then the SUP order, the strategic undergrounding thing, last week the order – the last part of it sort of mentions that although it's not included in their analysis for denying the application, they mention sort of an overall rates – the context of overall rates for customers. So they say it's not part of their (36:11) doing this, but basically they draw attention to it. So what my question is – question is basically how do you look at the rate impact that we're seeing here? I know you guys are very cognizant of these rate impacts for customers and CapEx and what have you. How do you look in terms of general about the Clean Power Plan, everything going on here, what the rate outlook might be for customers?
Thomas F. Farrell ll - Chairman, President, and Chief Executive Officer: Paul, thank you for that question. We spend a lot of time looking at not only – take, for example, the IRP. We gave five or six different approaches depending upon we were sort of guessing – educated guesses of what the Clean Power Plan would look like. And we'll obviously take another look at it. But cost to our customer is a paramount thing for us. We spend a lot of time looking at that. We pace things as a result of that. Now if you look at the gap that we still have for producing our own generation, if you're went back five years, we could have justified building two or three of these plants all at one time to meet our customers' needs. But we didn't think that was the appropriate way to deal with rates. We start from a very strong position. We're 20% below the national average in rates. We're among the lowest on the East Coast. We have one of the lowest industrial rates in the entire country. So we work very, very hard at keeping really strong operations, particularly in our generation fleet, to keep cost down, reliability for our customers. As these things go along, we take into account all through that process. I don't find it remarkable that a commission would say that they're concerned about rate pressure. I hope that all commissions are concerned about rate pressure.
Paul Patterson - Glenrock Associates LLC: Okay. Great. And then just finally on Dominion EDGE with the Clean Power Plan and what have you and other initiatives. I know you guys have done some rollouts here. How is that gone? And do you see any additional opportunity there?
Thomas F. Farrell ll - Chairman, President, and Chief Executive Officer: EDGE is a – just to remind everybody is a software product that we developed here – we have multiple patents on – that does voltage control in real-time instantaneous information and can be verified. The cost savings can be verified through a separate process. So, quite a few utilities co-ops have adopted it and are in the process of installing it. There are a lot more looking at it and some very large ones. So I think the Clean Power Plan – they got rid of the energy efficiency as one of the methods but they still give you some incentives, of course, if you wait till 2020.
Paul Patterson - Glenrock Associates LLC: Okay. Great. Thanks a lot.
Thomas F. Farrell ll - Chairman, President, and Chief Executive Officer: Thank you.
Operator: Thank you. Our last question will come from Shar Pourreza with Guggenheim Partners.
Shahriar Pourreza - Guggenheim Securities LLC: It sounds like the Clean Power Plan could lead to some additional growth opportunities. Any sense on whether Virginia will submit a state implementation plan, file a lawsuit? And then maybe you can just touch on whether we're looking at a regional approach or state specific?
Thomas F. Farrell ll - Chairman, President, and Chief Executive Officer: Our Governor McAuliffe, I think, pretty sure I read, has already stated that they intend to – the state of Virginia will file a state implementation plan. He's said that before as the EPA was going through it. So, I wouldn't anticipate any lawsuits from Virginia. And, obviously, we will be working with the governor's environmental quality people along with our reliability regulators to help get make sure they have all the information they need to form the best plan for Virginia. So, a lot in the growth. We're definitely going to have to do a lot more in Virginia, but there is a lot of growth that's also going to happen in the gas infrastructure businesses. People talk about renewables being built and they will be built. But, as you all know, you have to backup all those renewables with gas-fired power plant. So, we think there is a lot of opportunity. And if you look at it state-by-state, the region where our pipeline operates, gas will work.
Shahriar Pourreza - Guggenheim Securities LLC: Got it. And then just lastly in Atlantic Coast, are we still comfortable at 1.5 Bs per day or are we still – is there an opportunity to upsize that?
Thomas F. Farrell ll - Chairman, President, and Chief Executive Officer: It's signed up for 1.5 now. And I think we've said previously that it's easy to expand it to 500 a day just by adding some pressure. So, we're still obviously in the pre-filing process but we'll file that formally next month.
Shahriar Pourreza - Guggenheim Securities LLC: Got it. Got it. And then just lastly on DTI. Is there any opportunity to potentially drop down DTI sooner than 2018 or is there just some covenants on the debt that will not allow you to?
Thomas F. Farrell ll - Chairman, President, and Chief Executive Officer: There are issues around debt, but we have no intention of – I don't think we've ever talked about DTI before anytime. It's out in the future. What we're talking about dropping right now is Cove Point, the Atlantic Coast pipeline, Blue Racer and all times to – when necessary to meet the 22% distribution growth rate that we have been meeting so far and will meet over the balance of this period.
Shahriar Pourreza - Guggenheim Securities LLC: Excellent. Thanks a lot.
Thomas F. Farrell ll - Chairman, President, and Chief Executive Officer: Thank you.
Operator: Thank you. This does conclude this morning's teleconference. And you may disconnect your lines and enjoy your day.